Operator: Good day, and welcome to the News Corp Fourth Quarter and Full Fiscal Year 2019 Conference Call. Today's conference is being recorded. Media is invited on a listen-only basis. At this time, I would like to turn the conference over to Mike Florin. Please go ahead sir.
Mike Florin: Thank you very much, Karina. Hello, everyone, and welcome to News Corp's fiscal fourth quarter 2019 earnings call. We issued our earnings press release about an hour ago, and it's now posted on our website at newscorp.com. On the call today are Robert Thomson, Chief Executive; and Susan Panuccio, Chief Financial Officer. We'll open with some prepared remarks, and then we'll be happy to take questions from the investment community. This call may include certain forward-looking information with respect to News Corp's business and strategy. Actual results could differ materially from what is said. News Corp's Form 10-K and Form 10-Q filings identify risks and uncertainties that could cause actual results to differ and contain cautionary statements regarding forward-looking information. Additionally, this call will include certain non-GAAP financial measurements such as total segment EBITDA, adjusted segment EBITDA and adjusted EPS. The definitions and GAAP to non-GAAP reconciliations of such measures can be found in our earnings release. With that, I'll pass it over to Robert Thomson for some opening comments.
Robert Thomson: Thanks, Mike. News Corp completed fiscal year 2019 in a strong position with revenues increasing 12% and profitability rising 16% against the prior year, reflecting not only the consolidation of Foxtel, but also the continued strength and development of core segments of the company, including Book Publishing and Digital Real Estate Services, and substantial progress in the digital transformation of our News and Information Services businesses. The concerted focus on our primary revenue drivers, including the creation and distribution of premium content, was reflected in audience growth across News Corp's milestones and digital properties. We are also acutely focused on simplifying the structure of the company and making clear the full value of the sum of our parts. To that end, we recently announced a strategic review of News America Marketing, including a potential sale of the business. We have received material interest and the process is progressing rather well. There is clearly a fundamental shift under way in the content landscape. And one consequence, other than intensifying regulatory scrutiny of big digital, is a gradual transference of value to content creators, who over the past decade have lost influence in revenue to their digital distributors with Rupert and Lachlan Murdoch’s encouragement. News Corp has been advocating vigorously on behalf of journalists, journalism and the protection of intellectual property and that intense, sometimes solidarities advocacy, has begun to pay dividends for journalism and importantly for our shareholders. We are still at a relatively early stage of this tectonic transformation, but there will surely be an ongoing transfer of value to creators in coming years, which should be a great benefit to News Corp and its investors. We have begun partnering with companies such as Apple and Twitter, which recognize the value of our content. And discussions are under way with other digital companies, though I am not at liberty at this moment to provide more detail. What I can say is that the terms of trade and the tenor of our talks are now vastly different to even a year ago. In fiscal 2019, the News and Information Services segment posted higher profitability, which was spurred by the rapid rise of digital paid subscribers. The Wall Street Journal, the Times and Sunday Times and The Australian all grew subscriber volumes at a healthy rate with digital now accounting for the majority of their subscribers. There is an emerging subscription sensibility among consumers, which is obviously to our benefit, but we are also conscious of the need to provide ever better service to those subscribers, who rightly have high expectations for their digital experience. Dow Jones is a media business that we believe had a distinctive ability to prosper in the digital age. The Wall Street Journal recorded 14% growth in digital-only paid subscribers, who now account for over 69% of the total subscriber base of 2.6 million. Circulation revenue trends at Dow Jones remained robust, rising 7% for the year, well above the rates of the New York Times and others in the industry. Since separation in 2013, Dow Jones' consumer circulation revenues have grown more than 40%. And within that category, digital revenues at the Wall Street Journal had expanded by almost 150%. Advertising trends improved in Q4 for The Wall Street Journal. And in July, both print and digital advertising revenue were higher than a year earlier. As we look to the future, we believe that Dow Jones could attract a significantly larger subscription base by directions, subscriptions and through content partnerships. We have particular optimism about the international potential of Dow Jones given the relatively low non-U.S. share, 12% of subscribers today. We are also seeing the increasing ability of the Dow Jones team, deploying customized artificial intelligence to sell special Financial News and data products to professional and wealthy individual subscribers. The Dow Jones professional information business posted revenue growth for the second consecutive year after a period of transition, overcoming currency headwinds. An important driver of that growth has been the Risk and Compliance business, which grew 24% for the full fiscal year to exceed $130 million of revenues at attractive margins. Impressively, that business has more than quadrupled in size since its separation six years ago. Obviously, companies around the world are focused on maximizing compliance and minimizing risk. So we are confident that there will be continuing growth in that sector. In addition, Dow Jones will pass news coverage, and analysis is now aggregated on the Bloomberg terminal, significantly extending the reach and impact of Dow Jones' trusted high-quality journalism and analysis and enabling us to inform a larger total audience. Over the past fiscal year, along with other new partnership arrangements Dow Jones Newswires is now available on more than 300,000 additional terminals. These partnerships make our newswires the most widely available professional newswire services in the world. In the UK, in constant currency, The Times of London grew print advertising revenues for the second consecutive year. Digital paid subscriptions at The Times and Sunday Times grew 19% to 304,000, while regulatory approval was received this month for the sharing of resources by The Times and Sunday Times. Clearly, the change should result in operation efficiencies while we will be assiduous in protecting the unique identity of each of those iconic mastheads. Wireless Group posted its highest ratings ever in the April to June period. Chris Evans, the legendary radio broadcaster who joined Wireless Group's Virgin Radio last year, reached 1.1 million listeners a week across the UK during that period. In fact, Virgin Radio continues to be the fastest growing station in the UK, both in reach and listening hours. Meanwhile, Fox Sports hold record audience speakers with 3.3 million weekly listeners across the network in the quarter. Under Rebekah Brook's expert leadership, we are ensuring that the peerless broadcast skills of Wireless are being deployed to improve the quality of the audio products elsewhere in the UK to take advantage of rapidly increasing podcast amount. In Australia, our focus on growth paid off through an improvement in profitability for the year, driven in part by an increase in digital subscriptions, which now exceed 517,000, up 24% year-on-year with The Australian, a notably strong performer. At the same time, news.com.au has remained the number one website for 20 consecutive months, well ahead of its rivals with its monthly unique visitor number topping 10 million and total visitors at over 91 million in June. News Australia is also benefiting from the acceleration in digital advertising, including expansion of News Xtend, the small to medium business solution and from its cost reduction efforts. We are confident that Michael Miller and his talented team are well-positioned to extend their operational success into fiscal 2020. At the New York Post, the cover price was doubled to $2 in metropolitan markets, the first increase in seven years and one reason for improved financial results at The Post. And The Post digital network continues to be strong with audience numbers averaging more than 101 million unique users per month in the quarter, according to Google Analytics. In the Subscription Video Services segment, the combination of Foxtel and FOX SPORTS was completed in April 2018. And throughout fiscal 2019, the new business has been focused on delivering premium content and experiences to customers and rapidly expanding our streaming services, which have grown markedly over the past year. Foxtel is underpinned by a large and loyal broadcast subscriber base and unique content across sports, entertainment, documentaries and news. As of the end of the fiscal year, Foxtel's total paid subscribers grew to over 3.1 million, led by the success of our new sports streaming product, Kayo, and continued expansion of Foxtel Now, where the number of its subscribers increased by 36% from the prior year to 446,000 at year end. Kayo, which is launched in November 2018, showed a material acceleration in subscriber additions into the year end with over 330,000 paid subscribers as of June 30, a doubling since last quarter. Worth noting is Kayo's high level of audience engagement with 90% of subscribers using it each week, watching an average of 8.5 hours of sports content across an average of six different sports. In total, our streaming base in Australia has nearly doubled since calendar year end to approximately 777,000. It is notable that the growth in Kayo subscribers between the third and fourth quarter has actually been accompanied by a decline in average churn among sports tier subscribers to Foxtel broadcast over the same period. We announced in July the integration of Netflix into Foxtel's iQ3 and iQ4 set-top boxes which, along with a new user interface, creates a unified content discovery experience for our customers and strengthens our position in the market as the preeminent creator and aggregator of the broadest range of programming. At the same time, the consolidation of Foxtel and Fox Sports has obviously provided an opportunity to review our cost base without undermining the quality of service or programming. At Digital Real Estate Services, despite housing market headwinds, both REA and realtor.com strengthened their competitive position by continuing to innovate and expand audience. Signs of improvement in the U.S. housing market are emerging with realtor.com traffic at record levels. Interest rates declining, buyer lead volumes on the rise and pending home sales rising 2.8% in June. Last November, Tracey Fellows was promoted to President of Global Digital Real Estate, underscoring our Company’s increasing commitment to the sector, which has been an engine of growth since we separated in 2013. In fact, over that period, segment revenues have tripled through a combination of rapid growth in REA in Australia and acquisitions in the U.S. and Asia. We are in the process of a major transformation of realtor.com, underscored by the recent acquisition of Opcity and guided by our goal of providing consumers with a superior home buying and selling experience. While that acquisition and the migration towards a performance-based model naturally had an impact in revenues and investment last year, it represents a commitment to future growth by increasing the quality of connections between consumers and real estate professionals and heightening our potential to maximize the value of those interactions. We believe our focus on quality connections also increases our ability to generate additional revenue across the home buying and selling experience, from mortgage origination to the inevitable spending done by every family during the profoundly important process of moving home. REA Group continued to significantly outperform the competition despite the soft listing environment in the second half of the year. For the year, REA extended its lead over, domain generating nearly 3 times as many total visits. The company is continuing to create products that provide genuine value for ambitious agents. A federal election in May in Australia obviously contributed to economic uncertainty, but the political situation has clearly stabilized and the government is taking measures that should stimulate the housing market. We also made good progress in Asia through iProperty with healthy revenue growth despite fluctuating economic and political conditions. In Book Publishing, HarperCollins slide this year with new releases and a strong backlist, filling a 6% increase in EBITDA despite a tough comparison with 2018. We should benefited from a onetime lucrative licensing contract for J.R.R. Tolkien’s Lord of the Rings. As Tolkien himself wrote, all’s well that ends better. That is certainly true of the downloadable audiobooks, for which revenues rose 40% for the year. There is patently a fundamental shift in listening habits under way, and we expect double-digit growth to continue in the current year. Brian Murray and the HarperCollins team are finding new ways to make the most of our content and enhance the profile of our orders. We have just announced a partnership with Sony Pictures Entertainment in Hollywood and Elizabeth Gabler and her former Fox 2000 team to develop programming and films from the remarkable HarperCollins catalog. We have also announced an agreement through our Harlequin imprint with Bell Media in Canada to produce movies from Harlequin’s extensive library of more than 30,000 titles. The most successful book of the year was a standout hits from our Christian division by best-selling author, Rachel Hollis, who is debut and follow-up books: Girl, Wash Your Face; and Girl, Stop Apologizing, together shipped more than 5 million units during the year. We also saw great success with David Williams, including Ice Monster and World’s Worst Teachers; and Mark Manson had continuing success with his sequel to The Subtle Art of Not Giving an Expletive, with Everything is Expletive. With that book title, I will hand the call over to Susan for an unvarnished account of our fourth quarter and full year 2019.
Susan Panuccio: Thank you, Robert. Before I review this year’s end quarter financial results, I wanted to highlight five themes from this past fiscal year where we’ve made significant progress. Firstly, we’re making notable progress in stabilizing the News and Information Services segment and entered our fiscal year on a positive note. Our digital paid subscriber base continues to grow while we continue to focus on streamlining our critical space and investing in new revenue streams. Importantly, the segment posted a higher profitability this year with improvement across our key news publishing business units. The first time we’ve seen this improvement since the Company’s separated. We will remain focused on these areas in the coming year, and we are optimistic we can build on the current use of this. Secondly, the team at Foxtel have made steady progress on its over-the-top offering, including a successful launch of Kayo in November and further improvement to its premium broadcast product. Foxtel returned to volume growth, ending the year at the highest closing paid subscriber base since separation. And now with the core platforms in hub, they are focused on improving a path to revenue and profit growth. The performance in our Book Publishing segment this year underscores the value of premium content and the advantage of a global distribution network, posting record profitability even when facing a very challenging prior year comparable. Given the rapid rise of downloadable audiobooks and the explosion in demand for premium content globally, we continue to explore ways that HarperCollins can see the leverage its highly valued content into other media. As Robert mentioned, recent examples of these efforts are our announced partnership with Sony Pictures Entertainment and also with media in Canada our Harlequin division. These are deals with minimum capital outlay which have the potential to monetize content more broadly. Our businesses in the Digital Real Estate Services segment made strategic acquisitions, expanded their product offering and continue to capture audience share amid a challenging global healthy market. We feel positive about our pace of innovation and investment and believe this segment is well-positioned going into fiscal 2020. And finally, we continue to actively look at our portfolio. In June, we announced that News America Marketing is undergoing a strategic review, including actively exploring sale, and that process is ongoing. With that, I would now like to discuss our financial results. For the full-year fiscal 2019, total revenues were $10.1 billion, a 12% increase compared to the prior year. Reported results for fiscal 2019 include the consolidation of Foxtel. On an adjusted basis, which excludes the impact of the Foxtel consolidation, significant currency headwinds and other items as disclosed in the press release, revenues rose 1%. Total segment EBITDA for the year was $1.24 billion compared to $1.1 billion in the prior year, a 16% increase over the prior-year period. Adjusted total segment EBITDA for the year rose 4%. Full-year dilution in earnings per share were $0.26 compared to a loss of $2.60 in the prior year, primarily driven by the absence of the non-cash impairment charges and writedowns of $1.2 billion recognized in fiscal 2018. Adjusted earnings per share for the year were $0.46 versus $0.44 in the prior year. Free cash flow available to the company for the year were $213 million, which included a step up in capital expenditures related to the consolidation of Foxtel. And now to the quarterly financial detail. We reported fiscal 2019 fourth quarter total revenues of approximately $2.5 billion, down 8% versus the prior year, due in part to the $105 million impact from continued currency headwind. Adjusted revenues declined 5%. Total segment EBITDA for the quarter was $269 million compared to $314 million in the prior year, down 14%. Adjusted segment EBITDA declined 8%. For the quarter, loss per share was $0.09 compared to a loss of $0.64 a year ago with the improvement mainly due to the absence of the write-off of the FOX SPORTS Australia channel distribution agreement last year. Adjusted earnings per share were $0.07 compared to $0.08 in the prior year. Turning now to the individual operating segments. In News and Information Services, revenues for the quarter were over $1.2 billion, down approximately 5% versus the prior year. Currency had a $40 million or 3% negative impact and was responsible for the majority of the decline. Digital revenues to Dow Jones and the newspaper markets represented 37% of combined revenue, approximately 33% of the segments revenue were digital, up from 30% in the prior year. Advertising revenues for the segment were down 8% in the quarter versus the prior year with approximately $18 million or 2% due to negative currency fluctuations. Circulation and subscription revenues were flat versus the prior year despite $17 million or 3% negative impact from foreign currency. Segment EBITDA for the quarter was $108 million, up 14% over the prior year and a very strong improvement from the last two quarters, primarily driven by News America Marketing, but also benefiting positive contribution from Dow Jones and News UK. I will now talk through some segment highlights. At Dow Jones, the consumer circulation revenues in the fourth quarter remained robust, growing 7% for the fourth consecutive quarter, benefiting from 14% growth in digital-only paid subscribers at The Wall Street Journal to over 1.8 million as well a subscription price increases. Digital paid subscribers accounted for over 69% of total subscriber of The Wall Street Journal, which is up from over 64% last year. Total subscribers in the quarter for Dow Jones consumer products, which also includes Financial News in the UK, reached approximately 3.3 million, again posting record level. Of that, the digital-only subscribers rose 20% versus the prior year to 2.2 million subscribers. Over the same period, Barron’s expanded its total subscriber base to 579,000, a 16% year-over-year increase. Within the professional information business, Risk and Compliance grew 23% in the quarter compared to the prior year and as expected, exceeded $139 million in revenues this year. We continue to expect significant growth ahead as we expand our product range. Overall, our professional information business grew 2% this quarter. Advertising revenues at Dow Jones in the quarters was flat, a notable improvement from last quarter led by an improvement in digital advertising as we had anticipated. For the quarter, digital advertising accounted for 40% of total Dow Jones advertising compared to 39% last year. Elsewhere across our news portfolio, advertising conditions were overall relatively stable with last quarter. Advertising revenues at News Australia and News UK declined 8% and 7%, respectively, yet both were down only 1% in local currency compared to the prior year, benefiting from higher digital advertising revenues. Pleasingly, The Times in the UK grew fleet advertising revenue in local currency for the seventh consecutive quarter. On circulation, our digital subscribers around the globe are growing at an impressive rate. Digital subscribers rose 19% to 304,000 at The Times and the Sunday Times. And they also have approximately 5 million registered users, which is both a source of subscriber acquisitions and an advertising opportunity as we continue to leverage our increasing audience scale. At News Australia, paid digital subscribers rose over 24% year-over-year to more than 517,000, which include 146,000 digital and bundled subscribed at The Australian. The increase in digital subscription along with cover price increases at News U.K. and News Australia allowed both markets to mitigate print volume decline and currency headwind. Finally, at News America Marketing, revenues fell 6% driven by continued weakness in free-standing insert products but partially offset by in-store product growth. Cost initiatives help NAM contribute high profitability in the quarter. Turning to the Subscription Video Services segment, revenues for the quarter was $536 million, down the 12% versus $610 million a year ago, of which $44 million or 7% was due to the negative impact from foreign currency. Broadcast revenue trends were relatively similar to the prior quarter with the revenue decline driven by a lower broadcast subscriber base and changes to the broadcast subscriber package mix. The revenue decline was partially offset by increased revenue contributions from Foxtel Now and Kayo. Segment EBITDA in the quarter was $85 million, down 12% with the prior year. From the fourth quarter, we are now comparing like-for-like as we completed the Foxtel consolidation in the fourth quarter of fiscal 2018. Turning to the KPIs, Foxtel's closing paid subscriber base rose to over 3.1 million as of June 30, with volume growing 12% versus the prior year. Growth was driven by Kayo, strong adoption of Foxtel Now and the inclusion of commercial subscribers at Foxtel Australia. Of that subscriber base, approximately 2.4 million of the total closing subscribers were broadcast and commercial subscribers and remain consistent of Kayo and Foxtel Now subscription. We are making steady progress in our OTT strategy, with Kayo claiming subscribers at 331,000 as of June 30, up by over 120,000 since our last update on May 8 and more than doubled since the third quarter, driven by the Cricket World Cup and the expansion of our distribution channel. Including trials, the total paid subscriber base reached approximately 382,000. Pleasingly thus far, Kayo is not forming a material chain in Foxtel broadcast customer base with an estimated 5% of Foxtel disconnection since Kayo's launch being driven by customers moving to Kayo. Foxtel Now also performed strongly with total paying subscribers reaching over 446,000 as of June 30, up 36% from last year. While this is down from the May 8 update to due to the conclusion of the Game of Thrones, Foxtel has been focused on retention, and overall, the product has exceeded our expectations. In the aggregate, Foxtel had a strong and growing base of OTT subscribers, which in total reached 842,000 subscribers at June 30, of which approximately 777,000 were paying subscribers, accounting for 25% of Foxtel's total paying subscriber base and is reflective of Foxtel strategy to monetize existing rights of a multiple platform. In the fourth quarter, broadcast churn was 14.7% versus 12.5% in the prior year, reflective of a 300 basis points improvement from the third quarter. The outcome in the fourth quarter reflects early successes from leveraging data and analytics to reduce churn despite the price increases. In addition, the team is focused on stabilizing broadcast ARPU, which is more than AUD78 in the fourth quarter, down 1% versus last year. Capital expenditures related to Foxtel were approximately $300 million for fiscal 2019 which is lower than what we had anticipated, and we expect sizable declines in fiscal 2020. Approximately 65% of the CapEx was subscriber related. Finally, we issued Foxtel AUD200 million shareholder vote in May at a variable rate of approximately 9% as we continue to work with banks on refinancing upcoming maturity. At Book Publishing, as expected, we faced an unusually strong prior year comparison with the prior year including a one-time revenue contribution of $28 million for the Tolkien sublicense to Amazon and the release of Magnolia Table by Joanna Gaines. Revenues for the quarter decreased 14% to $419 million due to the fact that I just noted as well as approximately $18 million of negative impact from the new revenue recognition standard. Segment EBITDA fell to $44 million from $72 million, with the biggest factor impacting profitability being the absence of the Tolkien deal from the prior year. Notwithstanding the fourth quarter results, HarperCollins have had a very strong year and outperformed our expectations. HarperCollins posted high digital revenues for the quarter and a fiscal year lead by the continued expansion of downloadable audio, which accounts for approximately 1/3 of digital sales today. They will also move to fairly capitalize our momentum and the depth of their backlist to generate longer-term incremental revenues as they have done via the new deals with Sony and Bell Media. At the Digital Real Estate Services segment, revenues were down 5% to $283 million, primarily related to currency headwinds of $13 million. On an adjusted basis, revenues were flat. REA Group’s revenues were down 6% and up 1% in local currency as higher yield and increased debt penetration was offset by an overall 19% year-over-year decline in the existing volume during the quarter, which was notably weaker than the third quarter and full year rate of 9% and 8% declines respectively. Please refer to REA's earnings release and the conference call following this call for additional detail and comments on the outlook. News revenues rose 3% to $123 million versus the prior year with real estate revenues growing 8%. The increase in real estate revenues, which represents 77% of total revenue, reflect higher yield per lease, a slight improvement in buyer lead volume and the acquisition of Opcity. While lead volumes remain subdued, the business did see an improvement in run rates in June, which should build momentum to this coming fiscal year. As I mentioned last quarter, we began live testing of performance-based early model in over a dozen markets starting on May 1 to analyze the impact on scalability of this platform. Early results have been promising, with improvements in engagement and leasing rates, which we expect to drive higher conversion rates. During fiscal 2020, we will continue to allocate lead flow to Opcity, although we expect that in most markets, we will be offering both our existing connection SaaS products along with the Opcity concierge model. We have, as mentioned last quarter, began to reallocate resources within the realtor.com team to better position and streamline the business to this year and beyond. On audience, we saw an acceleration versus the third quarter growth rate and average monthly unique users at realtor.com to a record 72 million for the quarter, rising 14% versus the prior year together with notable pickup in engagement. Segment EBITDA fell 15% to $84 million similar to the third quarter rate. The decline was driven by higher investment in Opcity and the $5 million negative impact from currency. On an adjusted basis, segment EBITDA decreased 7%. I would now like to mention a few things to the fiscal 2020 here. At News and Information Services, while advertising visibility remains limited, the revenue mix is becoming less dependent on print, and we are encouraged by the pace of global uptake of paid digital subscribers. In fact, excluding NAM, the majority of segment's revenue will be circulation and subscription revenues. So far, the advertising trends are similar to slightly better in the current quarter, and we continue to remain digital while reinvesting in our digital offerings. Overall, our expectation is a show further stability in this segment and it is pleasing that we finish the year with some strength. We do note the first quarter will face a challenging comparisons due to the $48 million benefit in the prior year related to News U.K.'s exit of the gaining partnership with Tabcorp. In Subscription Video Services, overall cost increases should be modest in fiscal 2020 absent currency fluctuation. We will have one additional quarter of domestic Cricket rights approximately $20 million before locking the rights and some additional OTT expenses as we drive further penetration. This will be in conjunction with our continued efforts to seek cost efficiencies. We also expect a non cash impact of approximately $30 million to $35 million in fiscal 2020 related to a change in amortization methodologies the sports and entertainment programming. We expect CapEx in the Foxtel to decline by approximately 20% compared to fiscal 2019 and overall expect higher cash generation from the business. In Book Publishing, we will face tougher comparison to the fiscal year given the outperformance in fiscal 2019. However, we are confident with our slice of tussle, which will be headlined a new releases from Regent Raymond, Ajay Sims, Daniel Silver and David Dwellings in the UK among others, along with expected continued growth in downloadable audiobooks. Fiscal third quarter releases include Daniel Silva's The New Girl and Ann Patchett’s The Dutch House as well as the tie-in edition of Garth Stein's The Art of Racing in the Rain, which will hit the movie theaters this weekend. At Digital Real Estate Services, despite a challenging housing market in Australia, REA should benefit from higher debt penetration and higher pricing. Please refer to REA's call for a more detailed outlook. At realtor's fiscal 2020, we anticipate both higher revenue and higher profit contribution by further expanding the Opcity concierge model, returning the non-listing base advertising back to growth and leveraging the recent cost initiatives. With that, let me hand it over to your operator for Q&A.
Operator: Thank you very much. [Operator instructions] And we'll take our first question from Entcho Raykovski with Credit Suisse. Please go ahead.
Entcho Raykovski: Hi, Robert. Hi, Susan. A couple of brief questions for me. First one is around costs within news and insight services. So in the quarter, you had the same market, pretty good cost performance given that the EBITDA grow on revenues. Can you talk to the extent to which that was cost reductions within News America Marketing as opposed to the other segment within news and insight services? I'm just interested particularly in extent to which of those cost reductions can continue into FY 2020. And then on News America Marketing, you've given us a brief update on the sale process. Can you give us an indication of likely timing that you're looking at? And are you looking at mainly tied to financial bias?
Susan Panuccio: Hi, Entcho, it’s Susan here. Maybe I'll take the first question and hand over to Robert for the second question. Just in relation to the cost, they declined 7%, but down 4% on an adjusted basis. So cost distribution, Dow Jones cost are up but we would expect that to be up given the subscriber growth and the investments that we have in the PIB business in Risk and Compliance. Across the other businesses in the UK and Australia posted decline, and within them clearly cost declined by around 12% year-on-year. We are expecting to see cost continue to increase across the UK and Australia. We have been quite vocal about that over the past couple of years. The teams across the UK and Australia are very focused on cost reduction and continue to look at ways that they can innovate and drive costs, particularly out of the back office and some of the distribution chain. And we would also expect to see Dow Jones investing in that business going forward. But I would say that overall, we do balance the cost reductions with investment even within the UK and Australia because it's important that we can support that digital growth coming through in the businesses.
Robert Thomson: Entcho, obviously at this moment it is a little difficult to be absently specific about the identity of the bidders other than to say there's quite a few. But more broadly, we understand when it comes to the new score, that this is complex, it's not properly valued. And so we have begun a process of simplification that will be ongoing. The first, most tangible sign of that is the sale process at NAM. That company itself would change characters over the past few years and become more value because there was in-store and digital growth and a little less relevant into News Corp's core business. So it made sense to do that strategic review and that is materially interesting becoming.
Mike Florin: Thank you. And so Karina will take our next question please.
Operator: Thank you. We'll next hear from Kane Hannan with global – I'm sorry, Goldman Sachs. Please go ahead.
Kane Hannan: Good morning, guys. Just on the Foxtel OTT strategy, I think in the past, you've said you would only launch an entertainment SVOD if you're happy with Kayo's performance. But first, just given that growth you reported in the quarter, can you give us a bit of an update on around your plans if they exist for an entertainment SVOD? And just on the NAM business, can you give us a sense of both the EBITDA and margin that business makes? Or how you're thinking about any potential for that transaction?
Robert Thomson: Kane, again a little difficult to be specific, but the fundamental principle applies that if we thought Kayo was successful, then we would proceed with the new products. What we are seeing is Kayo is success, and fundamentally what we're seeing is a real growth in a number of Australians prepared to pay for premium programming. And there is little more premium than exclusive sports runs. So the old story about Foxtel was it had maxed out on subscribers that they were strictly limited number of Australians prepared to pay for content, and we heard that limit. Frankly, that's clearly not the case, and the doubling of Kayo subscribers has actually been accompanied by a fall during the same period by the rate of churn among sports users, subscribers on broadcast. That is a significant trend and an indication of the success of Kayo.
Susan Panuccio: And Kane, just in relation to News America Marketing, we don't disclose the margins in relation to that business. What I can say is we do disclose the revenues and that is obviously in the release. At this stage, we are obviously exploring the options as Robert said, in relation to the strategic review, and that will including exploring the sale. But we're not going to comment further biggest that process is being concluded that's what we may do with the cash proceeds.
Robert Thomson: Thank you, Kane. Karine, we’ll take our next question, please.
Operator: Thank you. We'll hear next from Craig Huber with Huber Research Partners. Please go ahead.
Craig Huber: Yes. Hi. Thank you. I guess two quick questions. Robert, Susan, what's changing your mind and your Board's mind to actually potentially put News America Marketing for sale now? I mean why now for that? And also, Susan, can you give us more clarity about how we should think about the cost for Foxtel for fiscal 2020 above and beyond what you've already said? Thank you.
Robert Thomson: Craig, as I said a little earlier, we understand that the company is complex and that the valuation that we get, really a remarkable collection of asset is not fully realized in the share price. And so we have begun this process of simplification and that the most obvious outcome at this stage of that is the decision to conduct the strategic review of NAM, and that is well under way.
Susan Panuccio: I think Craig, I'll just also add to that, that one of the things that we've been thinking about is how to allow greater focus on News Corp's primary pillars including the creation and distribution of premium content in the digital segment. So just in addition to the comments that Robert said. Just in relation to your second question, in relation to Foxtel cost base, in relation to next year, clearly the current year, fiscal 2019 is the investment year for Foxtel. We are very clear about that and transparent particularly in relation to the Cricket rights. If we cast our lines forward to the next financial year, we would expect to have a one additional quarter of Cricket right so that. US$20 million, we will, no doubt, have some continued investment in OTT as we scale this product and depending on the marketing activities around that. But more importantly as I mentioned in my comment, we'll have this non-cash impact related to the programming amortization change, which is about $30 million to $35 million. So that will impact on the result. Outside of that, we expect that cost base will be relatively notwithstanding the variable nature of it due to subscribers.
Robert Thomson: Thank you, Craig. Karine, we’ll take our next question, please.
Operator: Thank you. We'll next hear from Brian Han with Morningstar. Please go ahead.
Brian Han: Hi, Robert, I have one question for you. I noticed that Fox recently invested in an online lending company called Credible, I think. And it looks like something that perhaps News Corp could also have been interested in as part of your digital – digitalization strategy. So my question is has there been situations where News Corp and Fox compete for an acquisition? And if so, how do you guys decide who's going to take the first dibs and who is going to back off?
Robert Thomson: Brian, we look after News Corp. [indiscernible] saying about that Fox acquisition is that clearly, the Fox news and Fox Business news, great plasticizers of products. And that particular company has a very broad range of financial products aimed at consumers. So I wouldn't be surprised at all that it was a Fox acquisition. But we are separate companies and we ourselves are always reviewing our portfolio. Operator, we’ll – any more questions, Karina.
Operator: [Operator instructions] And it appears we have no further questions at this time. I'd like to turn the call back over to Mr. Florin for any additional or closing remarks.
Mike Florin: Great. Thank you, Karina, and thank you for all participating. We look forward talking to you soon. Have a great rest of the day. Take care.
Operator: Once again, that does conclude today’s conference. Thank you for your participation, you may now disconnect your phone line.